Operator: Good morning. My name is Jeanie and I will be your conference operator today. At this time, I would like to welcome everyone to the Pan American Silver Corporation second quarter 2007 earnings conference call. (Operator Instructions) It is now with great pleasure to turn the floor over to your host, Mr. Geoff Burns, President and CEO. Sir, you may begin your conference.
Geoff A. Burns: Thank you, Operator. Good morning, ladies and gentlemen and welcome to the Pan American Silver second quarter 2007 earnings release conference call. Joining me today here in Vancouver are Steve Busby, our Senior Vice President of Project Development; Wayne Vincent, our Controller; and Alexis Stewart, our Director of Investor Relations. I am planning on keeping today’s call fairly brief. I will try to provide some color to our earnings release, which we issued last night, and I am going to ask Steve Busby to update our construction activities in Argentina and Bolivia. From an operating perspective, if you’ll pardon the expression, we had a rock solid quarter. It was void of any amazing accomplishments and similarly without any significant issues. Don’t get me wrong -- there was and always is a plethora of issues to deal with in our operating mines but that’s normal operating and we worked extremely hard to deliver good second quarter results. As I am sure you can imagine, I travel quite frequently, given the location of our assets, and I can recall being asked on numerous occasions what makes for a good flight and a good airline. For me, it’s pretty simple -- it’s one where the plane takes off when the schedule says it is supposed to and arrives when it is supposed to arrive without incident. Our second quarter falls pretty much into that category. We told you at the start of this year what we are expecting to achieve, we updated you on our schedule at the end of the first quarter with respect to Alamo Dorado, and this quarter we have done almost exactly what we expected to do without incident. We produced just over 4.2 million ounces of silver in the second quarter, 27% higher than in the second quarter of 2006 and a new quarterly production record for Pan American. In addition to silver, our zinc, lead, copper, and gold production were all higher as compared to the same period a year ago. This was exactly what we had planned. You probably recall from our first quarter conference call that our commissioning efforts at the company’s newest silver mine, Alamo Dorado in Mexico, were taking longer than we planned but that we believed that by the end of April, that most of the start-up issues had been resolved and that we were going to see steadily increasing production. I am happy to be able to tell you that in April, Alamo Dorado produced 233,000 ounces of silver; in May, 275,000 ounces of silver; and in June, 348,000 ounces of silver. For the quarter, that’s 856,000 ounces. We are literally on the brink of attaining design capacity and production rates and I can say with confidence that we will achieve this in the coming weeks. Our guidance remains unchanged in the first quarter and we expect to produce 3.6 million ounces of silver in 2007 at a cash cost of close to $3.50 per ounce at Alamo Dorado. Moving to our other Mexican operation, we achieved record performance at La Colorada, which was our second quarter’s largest silver producer. After a bit of a slow start in 2007, our pure silver mines set a new mine record for silver production. In the second quarter, La Colorada produced 1,035,974 ounces of silver, an increase of 13% as compared to Q2 2006 and up 21% over the first quarter of this year. The oxide and sulfide mills combined demonstrated a processing capacity of over 1,000 tons per day, well above the 800 tons per day we had hoped to consistently maintain this year, and up approximately 50% from the 700 tons per day rate we were processing at the beginning of 2007. We are right on target to produce 3.8 million ounces of silver at La Colorada in 2007. Cash costs at La Colorada for the quarter were slightly higher than we had hoped for at $7.20 per ounce, primarily reflecting a one-time $500,000 distribution for employee profit sharing. This profit sharing bonus is part of our continued effort to ensure that our employees share in the success of our company. As a result, relations with our employees remain strong and we have had no personnel losses at the mine in over six months. Moving to Peru, at Morococha, silver production for the second quarter was higher than forecast at just over 674,000 ounces, and cash costs were the lowest in the mine’s history at negative $5.23 per ounce. This marked the fifth consecutive quarter of decreased cash costs, a benefit from high by-product zinc production and excellent zinc prices. Morococha delivered a fine quarter and is on track to produce 2.7 million ounces for 2007. The Huaron mine maintained its solid performance throughout the second quarter and increased its silver production as compared to the second quarter of last year to 949,500 ounces. Cash costs in the second quarter remained steady at $1.90 per ounce of silver produced. In order to offset a planned decline in silver headgrades, we increased the throughput at Huaron. The milling circuit has just set a new monthly tonnage record in July by processing 67,000 tons. Huaron should meet our 2007 forecast of 3.8 million ounces of silver. At Quiruvilca, silver production for the quarter was 407,000 ounces, a cash cost of $1.30 per ounce. As anticipated, production levels in the second quarter were similar to those in the first and we continued to encounter lower silver and zinc grades. We had expected to access higher grade ore below the 400 level as early as the third quarter of this year with the completion of our 400 level ramp development project. However, this project is running about four months behind as a result of low contractor availability, so we are likely to maintain similar production levels as we have seen in the first and second quarter over the course of the third quarter, with some improvement in the fourth, when ore from the higher grade lower zones will be mined. To round out our operations, I will make a couple of comments on San Vicente’s production before turning the call over to Steve Busby, our Senior Vice President of Project Development, who will talk about our expansion plans at both San Vicente and progress at Manantial Espejo. As many of you know, in early June we announced the purchase of an additional 40% interest in the San Vicente project in Bolivia, increasing our ownership to 95%. At the same time, we announced our plans to significant expand production. Silver production for the second quarter from San Vicente was 173,634 ounces, as we continue to mine at an extremely modest basis, processing at about 250 tons per day. Cash costs for the second quarter were $3.74 per ounce. In order to extract the real value of the high grade, long lifespan of the San Vicente ore body, we have started our expansion project, which will include construction of a new 750-tons per day processing plant and expansion of our underground mine working. The economic returns for this project are extremely attractive. We purchased the additional 40% interest for $9 million and for a relatively modest capital investment of $40.5 million, we will add almost 2 million ounces of silver production per year at a cash cost of $2 per ounce. At our reserve prices of $9 per ounce of silver, the project has an internal rate of return of 26% and a payback period of 2.5 years. At today’s prices, the payback period is just over one year. Do I like the political risk in Bolivia? Not so much. Do I like the project returns and potential? Very, very much. I am going to turn the call over to Steve now to review our plans for San Vicente and Manantial Espejo. Steve.
Steven Busby: Thank you, Geoff. We are well underway preparing for the construction of the expansion project at San Vicente and enjoy a lead start with significant advance already in detailed engineering and procurement activities. Total project expenditures to the end of June were $5.9 million and total commitments were $14 million. We have successfully staffed some of the key positions, including our country president, our operations manager, and our project manager position. The San Vicente expansion project is defined as building a new 750-ton per day floatation plant at the mine site, expanding production at the mine to feed the new plant, building a new tailings facility, and upgrade the local infrastructure to support the larger mining operation. Once completed, the expanded operation will be capable of producing approximately 2.8 million ounces of silver annually on a 100% basis at a unit cash operating cost of $2 per ounce net of by-product credits for the first five years. As Geoff said earlier, this is an increase of 2 million ounces of silver per year over today’s production rates. This production will be contained in two marketable products, a copper silver concentrate and a zinc silver concentrate. The expansion project includes replacement of the existing mine hoist and headframe to provide safe access for miners and materials, as well as enhanced production from the existing developed areas of the mine. It also includes development of an approximately 2300 meter underground decline ramp to provide access for rubber tire underground mining gear, allowing for bulk mining methods on our larger and richer [literale] vein deposits. We have awarded a contract with an established mining contractor named [Eyisa] to initiate the ramp construction beginning next month and to train our miners in mechanized mining methods. We’ve engaged Lintech Incorporated to provide engineering procurement and construction management services to complete the construction of our new 750-tons per day selective floatation plant. Lintech is an engineering construction company headquartered in Denver, Colorado and specialized in the design and construction of precious metal plants the size of San Vicente. Lintech also has previous experience working in Bolivia. Lintech has already secured most of the long lead purchases and is preparing to begin construction in the fourth quarter of this year. We are planning for several infrastructure upgrades, including upgrading our camp, installing a new, larger power line, and building a reliable water system. Much of this is already well advanced. In addition, we are completing several local community projects, including enhancing the school and repairing the community center. We continue to foster and sustain quality relations with the government and community who have been very supportive of our expansion project. We enjoy being located within a community of dedicated miners and miner families who have established their life in the area for several generations and we look forward to deploying this investment, which will benefit them, the area, the Bolivian economy, and our shareholders. Our goal is to have this new plant facility operational by the end of 2008. In Argentina, our construction efforts at Manantial Espejo continued on schedule and on budget, achieving 33% overall project completion on $55.8 million of expenditure and total commitments of nearly $75 million by the end of June. During the second quarter, we have substantially advanced the underground and surface mine developments. We have achieved full concrete placement rates. We’ve advanced construction of the site, ancillary and infrastructure facilities, and we’ve made good progress on completing several community infrastructure projects. Specifically during the second quarter, we have incurred no lost time accidents at the site. We have advanced 222 meters to a cumulative 686 meters on two underground access ramps after overcoming some challenging ground conditions and significant water in-flows. Despite these challenges, we are well within reach of our planned underground development schedule, particularly given the excellent advance we have experienced over the last few weeks, where we have already exceeded last quarter’s development advance. We’ve mined nearly 485,000 tons of material from our open pit development, of which more than 360,000 tons was used for tailing stand construction, and nearly 14,500 tons of low-grade ore has already been mined and placed in a stockpile. We have successfully completed our tailing stand construction in July on budget. We’ve poured approximately 1500 cubic meters of concrete primarily for the plant, leech tanks, truck shop foundations, which is essentially 25% of the total project requirements. We’ve also completed the first phase 30-home housing construction project and advanced on the apartment and cabin projects in the local community of Gobernador Gregores. These housing projects are crucial to support the total 423 personnel currently working on the project. Over the remainder of 2007, we expect to essentially complete the concrete works and begin steel erections in preparation for major equipment deliveries scheduled for early 2008. We also expect the cross cut and begin on vein development on our two underground mine areas, and also will move nearly 1.2 million tons of waste from our open pit mines. During these pit and underground development periods, we expect to accumulate over 150,000 tons of ore prior to plant start-up, and this ore will be stockpiled ahead of the crusher. We remain confidently on budget and on schedule for mechanical completion in May of 2008 and expect commissioning to begin immediately thereafter. This concludes my brief overview of our project advances. Now I would like to turn it back over to Geoff Burns.
Geoff A. Burns: Thanks, Steve. As you can tell, we are extremely active executing our growth plans. With Manantial Espejo scheduled to come on stream at the end of May next year and San Vicente by December, we are clearly poised to see production growth at Pan American in 2008, 2009 and well into 2010. With one exception, our record production in the second quarter translated into some record financial results. Cash flow from operations before working capital adjustments was the highest in the company’s history at $31.5 million. Revenues from metal sales were up 26% as compared to the corresponding period in 2006 to $79.2 million, and were the second-highest we’ve ever recorded. Cash costs were good at $2.61 per ounce of silver produced and with increased profitability comes increased taxes, as we recorded our highest tax provision ever at just over $10 million. Finally, we had our second-highest quarterly net income ever at $18.5 million, or $0.24 per share. This was 23% higher than a year ago. Net income for this quarter was second only to income recorded in the first quarter of this year when we included a $10 million gain from the sale of our interest in the Dukat Mine. Excluding that gain, the second quarter was our strongest quarter yet in terms of earnings. I realize that some of you are expecting even more from our bottom line. However, not unlike the first quarter, our earnings would have been stronger still had we been able to recognize into income all of our production. In our first quarter conference call, I noted that only 74% of our concentrate produced in Peru was shipped and recognized into sales, with the remaining left in inventory. And I was hoping that we would see some of this inventory sold down during the current quarter. While we managed to ship most of the second quarter’s concentrate, we didn’t see the inventory drive-down I was expecting and there is still 10,000 tons of concentrate we produced this year that hasn’t been sold. It will be over the remainder of this year and this should add another $7.5 million to our bottom line in the third and fourth quarters. In addition, almost 400,000 ounces of Alamo Dorado silver production was unsold at the end of June, which we have now sold in the third quarter. In summary, we had a very good quarter. We delivered record silver production, strong financial results, and made significant advances on our growth plans. Most gratifying was to watch Alamo Dorado ramping up nicely, achieving commercial production and starting to make the positive contributions we had planned for. The La Colorada mine had a great quarter and our Peruvian mines continue to deliver at expected production levels. As I said in my opening comments, we had a solid quarter. I can’t say there are any amazing accomplishments but similarly, we experienced no significant problems. As for our growth plans, I am satisfied with the construction progress at Manantial Espejo and San Vicente and look forward to seeing the startup of both these operations next year. For me, the second quarter can best be summarized by saying we are delivering on our plans. Overall, 2007 is shaping up to be our most successful year. We remain on track to produce 17 million ounces, I see increased cash flows and earnings in the third and fourth quarters as we finally realize sales of our concentrate inventory, and metal prices, particularly for silver, while more volatile of late have remained extremely buoyant. Thank you and Jeanie, I would like to ask you to open the floor for questions.
Operator: (Operator Instructions) There appear to be no questions at this time and I would like to turn it back to Geoff Burns for any closing comments. Actually, we do have a question come from Haytham Hodaly of Salman Partners. Please go ahead.
Haytham Hodaly - Salman Partners: Hey, Geoff. I couldn’t let you get away without any questions. Just one quick question, just with regard to costs. Obviously the costs in the second quarter were probably -- they were higher than the same quarter of last year, even though I think if you take a look back, the by-product credits were probably better now than they are then. What were some of the costs? I mean, La Colorada costs were higher than expected, or higher than you would like, put it that way. What are some of the things you can do here in the next little while to bring some of those costs down?
Geoff A. Burns: Well, first of all, La Colorada, yes, we were $7.20 an ounce and as I said, we had a one-time distribution of profit sharing that I don’t expect to see again this year, so we are going to be back in the $6.50 to $6.80 range, which is pretty much normal for La Colorada and what I would expect going forward. On a consolidated basis, our costs were higher than they were last year. The biggest influence is Alamo Dorado. If you look, Alamo Dorado during the quarter was just over $4 an ounce. And now that it’s a real contributor that is essentially cost averaging us higher than where we were a year ago. I do expect Alamo’s costs to come down as we see production ramping up further, you know, up to the 400,000 ounce per month range, just slightly over, which is getting near capacity and I see that coming down, so that should have a somewhat positive impact over the balance of the year. But in general, our costs are going to be somewhat higher with Alamo Dorado in there. You are correct, Haytham. The by-product credits have been better this year. That’s really reflected at Morococha where we saw minus $5 and $5.23 an ounce. In general, as I think you are probably aware, costs have -- actual dollar expenditures to produce a ton of material have continued to go up. We’ve seen probably in the first part of this year another 6% to 8% in those costs. That is stabilizing right now and frankly I don’t see much we can do to combat that. We’ve really maximized what we can do on a productivity side. It’s just the inputs across the board are higher. I think what you are seeing right now, $2.60, I expect to be lower than that over the rest of the year -- $2.30, $2.25, but that’s where I think we are going to be.
Haytham Hodaly - Salman Partners: Okay, $2.30, $2.35 as a consolidated for the whole, you mean?
Geoff A. Burns: Yes, that’s correct.
Haytham Hodaly - Salman Partners: Let me ask a couple other questions since there weren’t that many questions out there. On the Alamo Dorado, you said run-rate of potentially 400,000 ounces. That’s contained metal a month. We’re talking 4.8 million roughly for a year once up and running. Did you say 3.6 this year, is that the number you threw out?
Geoff A. Burns: Yes, 3.6 this year.
Haytham Hodaly - Salman Partners: And so is 4.8 a reasonable number for next year then?
Geoff A. Burns: Yes, 4.8 to 5 is where I think we are going to be. I think we should get over 400,000 ounces but it is not going to be 500. It will be 410, 420, right around 400 so 4.8 million to 5 million is a pretty reasonable number.
Haytham Hodaly - Salman Partners: Okay, and for San Vicente, we said the expansion will get it to as much as 2 million ounces, is that correct?
Geoff A. Burns: Two-point-eight.
Haytham Hodaly - Salman Partners: Was that on a 100% basis or what was that?
Geoff A. Burns: Yes, that’s 100%. We’ve got 95% of it now.
Haytham Hodaly - Salman Partners: Okay, and how long before you actually get that 2.8? How long does the expansion until it is effectively done?
Geoff A. Burns: It will be -- December 2008 is our plan for construction completion. You can anticipate four to six months of start-up, and so I would say mid-2009 you will start to see full production rates.
Haytham Hodaly - Salman Partners: So at an annual run-rate at that point by about 2.8 million ounces?
Geoff A. Burns: You betcha.
Haytham Hodaly - Salman Partners: Okay, so this year, what are you expecting from San Vicente?
Geoff A. Burns: On a 100% basis, we are expecting about 650,000 ounces. For the first quarter, we had 55% of that. Starting in June, we had 95% of that, so -- I think you are going to need to do a little bit of math there to work the number.
Haytham Hodaly - Salman Partners: No problem. Just with regard to one last thing on Quiruvilca, what is happening with the mine life there? How many more, realistically, years do we have at these prices right now?
Geoff A. Burns: At these prices?
Haytham Hodaly - Salman Partners: At these prices -- or even let’s say you know, on what you think is fair, maybe $9, $10 long-term silver?
Geoff A. Burns: Right now I think our P&P sitting out in front of us is right on five to six years today. There certainly is additional inferred resource. At these prices, that resource is clearly going to be economic and once we have it drilled out, so at these levels, we are sort of looking at plus 10 years.
Haytham Hodaly - Salman Partners: At Quiruvilca?
Geoff A. Burns: At Quiruvilca, that’s correct.
Haytham Hodaly - Salman Partners: Okay, so that’s a huge change from where you were a couple of years ago when you were looking at closure.
Geoff A. Burns: Oh, a 180-degree change. As you’ll recall, in June of 2004 we were planning on shutting it down.
Haytham Hodaly - Salman Partners: Right, I remember that, yes. Well, that’s perfect. Thank you, Geoff.
Operator: (Operator Instructions) Thank you. Your next question is coming from Kurt Bueller, private investor. Please go ahead.
Kurt Bueller: Yes, what is your expected production and sale of concentrate for 2008?
Geoff A. Burns: This year we are looking at producing almost 130,000 tons of concentrate and next year, that will ramp up slightly with San Vicente to bout 135,000 to 140,000 tons of concentrate. Our expectation every year is that we will sell during the course of the entire year all of the concentrate we produce. That’s the same this year. We fully expect that the inventories that we built up in the first and second quarters will be sold in the third and fourth.
Kurt Bueller: Thank you.
Operator: Thank you. Your next question is coming from Craig West of GMP Securities. Please go ahead.
Craig West - GMP Securities: Sorry, I might have missed the very first few minutes of the call there so forgive me if you’ve covered this. I was just wondering if you could touch a bit on exploration activities and in particular exploration at Morococha.
Geoff A. Burns: Actually, I didn’t make any comments this call on exploration. Now that you’ve asked the question, I will. As you know, we are planning overall in the company planning on drilling almost 100,000 meters of diamond drilling this year, primarily at -- well, almost exclusively at our operating properties, of which almost half of that is targeted at Morococha. I can tell you that right now we have seven drill rigs turning. I can tell you that our program is on schedule. I can tell you that we’ve had some exceptional results, not dissimilar to last year, but I also can’t give you the details of those results because at this point we have not done the full update to our reserve and resource statement, and we are not planning to do that. We are thinking about doing it about mid-year, but just given where we are at in the program, we’ve decided to defer that to make it an annual event, much the same as last year. But I can say things are going very well in terms of our exploration efforts.
Craig West - GMP Securities: And what about the drift that is going down at Morococha? I mean, there was some talk previously about it going through some ground that was maybe prospective but previously unexplored. Any updates on that at all?
Geoff A. Burns: Yes, that is the Manto Italia Sierra Nevada ramp. We’ve done there now -- I’m just trying to search my mind for a moment. I think we’ve gone through about 600 meters so far of that development. We did hit some pretty ratty ground early or late in the first quarter and through much of the second quarter, so our development rates were down to about a meter a day because we were putting in full-on ground support with steel arches and concrete, et cetera. We’ve gone through most of that ground now and we expect the production rate there to get back up to about three meters to four meters a day, which is normal. So it’s been a very slow progress. We are just getting through that ground and should be over the next four to five months hitting, as you describe very clearly, some very prospective areas of our claim group, areas that have subsequently never been explored nor drilled and areas where we fully expect to intersect veins. But just because of the slowness of some of the ground conditions we ran into, we haven’t quite got where we thought we were going to be. That program, as you know, is still a two-year program and really is going to be the lifeblood of that asset once it is complete, accessing the north as well as the west and southern areas of our claim blocks. As you probably know, Craig, the west, in particular the southwest corner of our claim group is where our highest grades are in the Yacumina area, running 400 and 500 grams per ton. So that’s moving ahead. It’s a little behind where we thought it would be but I see it picking up now that we are back in some good ground and I do fully still expect to run into mineralization that we haven’t seen before.
Craig West - GMP Securities: Great. Thanks a lot.
Operator: Thank you. Your next question is come from Alexander Emery of Bloomberg News. Please go ahead.
Alexander Emery - Bloomberg News: Yes, good morning, Mr. Burns. You mentioned that you didn’t like the political risk in Bolivia. I was just interested to see how much a concern there is with the government of Mr. Morales in the wake of what happened with Glencore’s tin smelter, and also the fact that apparently congress is preparing to raise taxes on mining company profits to 37.5% next month. I was wondering how much of a concern those two issues are.
Geoff A. Burns: I’ll deal with the second issue first. We’ve anticipated that tax increase and have actually, from a planning perspective, have built it into our cash flow and project economic models, so the economics that I gave earlier in the presentation indeed reflect that tax increase that has been proposed. I might add that that tax increase has yet to go to congress. I don’t know how many drafts there have been and there’s been a lot of different discussion, the numbers here reflecting are the latest draft but Evo has yet to take it for approval. On the second comment, I am really not concerned. Glencore and their assets were a very unique situation in Bolivia. Glencore had purchased the assets, the mining assets of the previous President, [Goni] who unfortunately or fortunately, I guess, ended up leaving the country for political reasons and so those assets were very much a target of Mr. Morales. I don’t feel exposed at all in the same way. In fact, a partner of ours in this project is COMIBOL and we just met with COMIBOL literally two weeks ago, who gave their blessing to our expansion plan. The board members from COMIBOL will be out visiting our site. They are actually genuinely excited about the investment we are making in Bolivia, so in terms of nationalization, I just don’t have a real fear of that. Bolivia is a tough place to do business, though, make no mistake. If I could move assets around, I would perhaps gladly pick it up and move it to a different country but while it is not the most comforting location, I am comfortable with our project.
Alexander Emery - Bloomberg News: Thank you. Just one last question, if I may; with that said, have you had personal reassurance then from the Bolivian Government that your investment will be respected?
Geoff A. Burns: Well, other than the assurance that we are getting from COMIBOL, which is the state mining company, no. Do we have a written piece of paper that says our asset will never be touched? No, and frankly I would be surprised if anyone had a piece of paper that said something like that.
Alexander Emery - Bloomberg News: Thank you very much.
Operator: Thank you. Your final question is coming from Mr. Rob [Pravanti] of Turner Investment Partners. Please go ahead.
Mark Bianchi - Turner Investment Partners: Hi, this is Mark Bianchi for Rob. We jumped on a little bit late and might have missed some prepared remarks on the inventory build and associated non-shipping of concentrate. I heard you comment that you expect to ship that for the second half of the year and there’s associated earnings with that, but can you just comment a little bit more on what the reasoning for the delay in the shipping is? Is that something to expect again next year? Is there a seasonality aspect to it?
Geoff A. Burns: Quarter to quarter, our concentrate movements can vary quite dramatically. Our production levels are pretty consistent but we sell to traders and we sell directly to smelters and they control the shipment schedule because they put together economic quantities to ship. A ship, for example, each hold will hold either 5,000 or 10,000 tons of concentrate and they are not going to load the ship until they have a full hold because they are going to pay for that hold whether they put one ton in it or 10,000 tons in it. So we are a little bit at I am going to say their mercy with respect to the absolute shipping dates. In terms of the shipping quantity throughout the year, yes, they are committed to take our entire production between all the different traders and concentrate, our smelters that we deal with. So is there a seasonality to it? Not particularly, It really comes down to a number of factors not in our control of where they are purchasing their concentrates from, when they have a ship coming in, where our material is in the production cycle. For example, in December of last year, we shipped about 30% more concentrate than we actually produced in one month. But I can’t give you that month is going to happen again. I can’t tell you that. What I can reiterate is our expectation is that in any given year, that over the fullness of the year, we will ship all the concentrate that we produce.
Mark Bianchi - Turner Investment Partners: Are the clients on a take or pay contract for this concentrate?
Geoff A. Burns: Well, they are committed to taking it and we have provisions that if they don’t take it by a certain date, that they have to provide us with provisional payments, so I guess that is close to a take or pay.
Mark Bianchi - Turner Investment Partners: Okay. Thank you.
Geoff A. Burns: Mark, just to end, I’m just not concerned. It’s not a concerning factor, as I said, over the balance of the year. We are going to ship all that concentrate. It is just a timing issue that’s hit us in the first and second quarter and it is going to reverse. It is going to reverse. That is a normal cycle for our business.
Mark Bianchi - Turner Investment Partners: Great, thanks.
Operator: Thank you. I would now like to turn the call back to Mr. Geoff Burns for any closing comments. Please go ahead, sir.
Geoff A. Burns: Thanks, Operator. Just one more time, I want to thank everyone for joining us here this morning, and to reiterate that I believe we had a very, very good second quarter and we delivered on the forecast that we had put forward and I very much look forward to updating each and every one of you at the end of the third quarter. Thank you.
Operator: Thank you. This concludes today’s Pan American Silver Corporation second quarter 2007 earnings conference call. You may now disconnect your lines at this time and have a wonderful afternoon.